Operator: Good evening and welcome to the Benchmark Electronics, Inc. Fourth Quarter 2020 Earnings Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Lisa Weeks. Please go ahead.
Lisa Weeks: Thank you, operator and thanks everyone for joining us today for Benchmark’s fourth quarter and full year 2020 earnings call. Joining me this afternoon are Jeff Benck, CEO and President and Roop Lakkaraju, CFO. After the market closed today, we issued an earnings release highlighting our financial performance for the fourth quarter and for 2020 and we have prepared a presentation that we will reference on this call. The press release and presentation are available online under the Investor Relations section of our website at www.bench.com. This call is being webcast live, and a replay will be available online following the call. The company has provided a reconciliation of our GAAP to non-GAAP measures in the earnings release as well as in the appendix of the presentation. Please take a moment to review the forward-looking statements advice on Slide 2 in the presentation. During our call, we will discuss forward-looking information. As a reminder, any of today’s remarks that are not statements of historical facts are forward-looking statements, which involve risks and uncertainties, as described in our press releases and SEC filings. Actual results may differ materially from these statements, most notably from the ongoing impact of the COVID-19 pandemic, and Benchmark undertakes no obligation to update any forward-looking statements. For today’s call, Jeff will begin by covering a summary of our fourth quarter results and a summary of initiatives progress in 2020. Roop will then discuss our detailed fourth quarter and 2020 results, including a cash and balance sheet summary and first quarter 2021 guidance. Jeff will wrap up with an outlook by market sector and an update on our strategic initiatives for the year 2021, including ESG and sustainability. We will then conclude the call with Q&A. If you will please turn to Slide 3, I will turn the call over to our CEO, Jeff Benck.
Jeff Benck: Thank you, Lisa. Good afternoon and thanks to everyone for joining our call today. We hope all of you are remaining safe and healthy during these times. In Q4, we delivered revenue of $521 million, which was at the midpoint of our guidance for the quarter. With improving higher-value sector revenue mix and better operational efficiency, we achieved non-GAAP gross margins of 9.6%, which was above our target of 9%. Even with slightly higher SG&A expenses in the quarter due to higher variable compensation and higher-than-anticipated COVID-related expenses at $1.6 million or about $0.04 per share, the resulting non-GAAP operating margin was 3.4%, and non-GAAP earnings were $0.34 per share. Our team’s effort to bring down inventory and better manage working capital are bearing fruit with cash conversion cycles coming in at 71 days, which enabled $84 million of free cash flow for the quarter. We delivered these results in the fourth quarter amidst continued challenges, including increasing COVID infection rates in our communities around the world, particularly impacting our North America operations. Our employees, operations leadership and COVID task force are continuing to do everything possible to provide a safe work environment at our sites around the world. I cannot say thank you enough to our team for all of their hard work to deliver for our customers. Please turn to Slide 4. Our go-to-market team continues to do a great job, and we had another strong quarter of bookings across all business areas of Benchmark. When I joined the company, we set a goal of consistently achieving over $200 million of new bookings per quarter, and I’m proud to report that even in the face of the global pandemic, we achieved over $800 million in new bookings for the 2020 calendar year. As I have shared before, many elements contribute to driving revenue growth, such as reducing regrettable losses in our business, which we also made progress on in 2020. More importantly, this achievement in new bookings bodes well for our future growth when coupled with our high customer satisfaction and progress on our other go-to-market initiatives. In the medical sector, we were awarded new manufacturing programs for a state-of-the-art DNA sequencing analyzer and surgical device electronics. We were also awarded design services for a low-temperature pharmaceutical storage freezer for which we expect to compete and win future manufacturing revenue. In the A&D sector, we were awarded new programs for soldier training systems and flight control electronics. I want to briefly highlight the flight control system win referenced on this slide. We competed with the largest companies in our peer group for this program. We were successful because of our technical depth in aerospace technologies and our innovative approach to solving their most advanced engineering challenges. Similar to what I’ve shared previously, we offered the customer a solution that included differentiated product engineering services, coupled with a robust global manufacturing proposal. Our successful plan to scale with a commitment to a One Benchmark solution provided the winning formula. In industrials, we were awarded new outsourced programs for power controls, electronics destined for a low-cost manufacturing solution in North America and a full-system box build for a LiDAR control box application. In computing and telco, we were awarded new fixed broadband products and new programs for our Benchmark solutions technology team. Similar to last quarter, our new business pipeline continues to be strong across our targeted sectors and sub-sectors and we remain very encouraged about the prospect for continued wins where the outsourcing environment for both engineering and manufacturing projects remains favorable. If you will please turn to Slide 5, despite all the challenges associated with 2020, we made steady progress on our key strategic initiatives that we laid out for the year. We exited the year with customer satisfaction at an all-time high as a result of our customer focus initiatives. We also made progress on making it easier to do business with Benchmark, along with improvements in deepening our strategic relationships and growing our position with existing accounts. Our regrettable loss measure has improved significantly in the last 18 months. While we have room to improve customer satisfaction further, I am pleased with the positive trends and the impact this is having on increasing business with our customer base. This customer-centric approach is an important foundation in growing our business. As part of our sector strategies, we align processes to invest in technology to increase win rates. As previously mentioned, we had a record year of new bookings in which we sold the full breadth of services to our customers. We are focused on ensuring bookings convert to revenue. To that end, we experienced annual revenue growth of more than 33% in semi-cap and 11% in medical sector. Turning to enterprise efficiencies, we made solid progress on this initiative in the past year. We continue working on optimizing our global footprint including completing previously announced closures in some locations and ramping up new capabilities in others. We had announced in Q3 of last year our intent to close our aerospace turbine machining facility given the lack of alignment with our long-term strategy and the downturn in the market. Ultimately, and fortunately, for our customers and employees, we were able to divest of these assets versus shutting down the site, and we transferred the majority of personnel and assets to the acquiring company. In parallel, we have been working on the Angleton site closure and executing the transition plans which remains on target. In addition, we maintained our focus on expense management. Through improved processes, G&A centralization activities and investment prioritization, we managed our SG&A expense to $122 million for the year, which was lower than forecasted. Lastly, improving margins and effective working capital management allowed us to exceed our cash flow targets for the year. Finally, as I will reference in our ESG update later in the call, we have made strides in engaging talent and shifting our culture. As I shared previously, Benchmark has a great partnership attitude, engages with integrity in all endeavors and a foundation centered on our customers. We’ve continued to invest in new, diverse skills and talent across our organization. Our ongoing commitment to advancing diversity and inclusion efforts at all levels in the company through our ESG processes will make Benchmark a more technologically rich and innovative organization. Now I will turn the call over to Roop to discuss fourth quarter financial results.
Roop Lakkaraju: Thank you, Jeff and good afternoon. I hope everyone and their families continue to be safe and healthy. Please turn to Slide 7 for our revenue by market sector. Total Benchmark revenue was $521 million in Q4, which was in line with the midpoint of our Q4 guidance and similar to our Q3 revenue of $526 million. As expected, increased revenues from stronger demand and new programs in industrial, defense and semi-cap offset declines in medical. Medical revenues for the fourth quarter were down sequentially from continued lower demand for products involved in COVID-19 therapies, such as ventilators, x-rays and ultrasound devices and overall softer demand related to elective surgeries and trauma devices, which have yet to return to pre-COVID demand levels. Semi-cap revenues were up 2% in the fourth quarter and up 24% year-over-year from continued strength for wafer fab equipment to support growth in DRAM and logic demand across our semi-cap customers. A&D revenues for the fourth quarter increased 6% sequentially due to strong revenue from radar communications and land-based vehicle systems. Conversely, commercial aerospace demand, which was about 25% of 2020 revenues, remained muted and continued to decline on certain platforms during the quarter. Industrial revenues for the fourth quarter were up due to seasonality from infrastructure and transportation markets and an increase in engineering services. Demand from customers exposed to the oil and gas market remains soft. Overall, the higher value markets represented 81% of our fourth quarter revenue. Traditional market revenue comprised of computing and telco was flat quarter-over-quarter. New program ramps in high-performance and secure computing and in broadband network components were offset by lower demand in commercial satellite and data center products. Our traditional markets represented 19% of fourth quarter revenues. Our top 10 customers represented 38% of sales in the fourth quarter. Please turn to Slide 8. Our GAAP earnings per share for the quarter was $0.21. Our GAAP results included restructuring and other onetime costs, totaling $4.4 million related to reduction in force and other restructuring activities around our network of sites. For Q4, our non-GAAP gross margin was 9.6%, a 90 basis point sequential increase. During the quarter, gross margin was positively impacted by overall sector mix, improved absorption and a number of customer recoveries, which represented 30 basis points of the 90 basis point increase. We estimate that we incurred approximately $1.6 million or approximately $0.04 per share of COVID costs in the quarter versus $1.3 million in Q3. Our SG&A was $32.4 million, an increase of $2.7 million sequentially and $8.2 million year-over-year. The sequential increase is primarily due to reinstatement of salaries and benefits and higher variable compensation. The year-over-year increase is related to higher variable compensation, investments in our IT infrastructure and other expenses. Non-GAAP operating margin was 3.4%, an increase from 3% in Q3 due to the increased gross margin. In Q4 2020, our non-GAAP effective tax rate was 17.5%, which was lower as a result of the mix of profits between the U.S. and foreign jurisdictions. Non-GAAP EPS was $0.34 for the quarter, and non-GAAP ROIC was 6.2%. Our non-GAAP EPS improved sequentially, primarily from improved operational performance. Please turn to Slide 9 for our revenues by market sector for the full year 2020 versus 2019. Total Benchmark revenue for 2020 was $2.1 billion, a decrease from $2.3 billion in 2019 from lower demand from pandemic-impacted customers in commercial aerospace, oil and gas and elective medical sub-sectors. For the full year, higher value markets were up 3%, primarily from semi-cap and medical, which increased 33% and 11%, respectively, year-over-year. Semi-cap’s strength was led by increased demand for DRAM and logic tools and increasing market share with existing programs across our customer base. Overall, the A&D sector declined slightly from 2019 revenues due to the deterioration of the commercial aerospace sub-sector. As a reminder, for 2020, the A&D sector was approximately 75% defense and security related and 25% commercial aerospace. Defense demand remained strong throughout the year with increases across a number of new and existing programs. Overall, medical revenues grew 11% from new and existing programs. Industrial revenues were down 18% year-over-year, primarily from softness in the oil and gas industry, with additional impacts from the commercial and building infrastructure markets where investments in many large projects remain delayed. Overall, the higher value markets represented 81% of our 2020 revenue compared to 71% in 2019. Revenues in the traditional markets were down 41% from 2019, primarily from our exit of the legacy computing contract in Q3 2019 and program transitions in telco. Our traditional markets represented 19% of 2020 revenues compared to 29% in 2019. Our top 10 customers represented 41% of sales for the full year 2020. We have one customer, Applied Materials that was greater than 10% of revenue for the full year. If you will, please turn to Slide 10. Our GAAP earnings per share for fiscal year 2020 was $0.38. Our GAAP results included restructuring and other onetime costs totaling approximately $19 million. These costs included $13 million of costs related to site consolidation efforts, reduction in workforce activities and other restructuring-type activity around our network, approximately $7 million in asset impairment, offset by $1 million in net insurance proceeds. Our 2020 non-GAAP gross margin was 8.4%, a 20 basis point sequential increase. We achieved this increase even with the operational disruptions caused by the COVID-19 pandemic. We estimate that we incurred approximately $7 million of net COVID costs in 2020. Our non-GAAP SG&A for 2020 was $122 million, an increase of $3.8 million from 2019. The increase is primarily due to higher variable compensation and IT infrastructure investments. Non-GAAP operating margin for the year was 2.5%, a decrease from 3% in 2019, due primarily to the effects of the pandemic on our operational efficiencies and the incurrence of COVID-specific costs. In 2020, our non-GAAP effective tax rate was 19.4%. Non-GAAP EPS in 2020 was $0.95, and non-GAAP ROIC was 6.2%. Please turn to Slide 11 to review our cash conversion cycle performance. Our cash conversion cycle days were 71 in the fourth quarter, an improvement of 10 days from the third quarter. Throughout fiscal year 2020, and in general, we continue to be focused on effective working capital management. This has resulted in inventory and contract assets improving by 6 days and advanced payments from customers improving 5 days in Q4. Turning to Slide 12 for an update on cash flow and a summary of our cash and debt balance sheet items, our cash balance was $396 million at December 31 with $189 million available in the U.S. We continue to have a strong capital structure, and our liquidity position provides flexibility to manage our business, invest for the future and return capital to shareholders. At December 31, 2020, we had $137 million outstanding on our term loan with no borrowings outstanding on our available revolver. Slide 13 shows our cash generation. We generated $95 million in cash flow from operations in Q4 and generated $120 million for the full year 2020. Our free cash flow was $84 million in Q4 and $81 million for the full year 2020. Slide 14 shows our capital allocation activity. In Q4, we paid cash dividends of $5.8 million and repurchased shares of $5.9 million. In fiscal year 2020, we repurchased $25.2 million, which represented approximately 1 million shares. As of December 31, 2020, we had approximately $204 million remaining on our share repurchase authorization. At a minimum, we will continue to repurchase shares to offset our annual equity dilution. Beyond that, we will evaluate share repurchases opportunistically while considering market conditions. From 2018 to 2020, we executed $359 million in share repurchases and paid $67 million in dividends to our shareholders. Turning to Slide 15 for a review of our first quarter 2021 guidance, we expect revenue to range from $480 million to $520 million, which reflects normal seasonality for some sectors. We have had a number of inquiries regarding the supply chain environment. We can confirm that lead times are extending for some components in the supply chain, including semiconductors and certain passes. We aren’t experiencing any near-term impacts beyond our normal expectations, but we will continue to work proactively with our suppliers and customers to secure supply to fulfill future demand. We expect that our gross margins will be 8.1% to 8.3% for Q1 and SG&A will range between $29 million and $31 million. The sequential drop in gross margins is expected due to lower revenues and the ramp of new programs. We do expect that as we continue throughout fiscal year 2021, gross margins will increase, and we expect gross margins for the full year to be at least 9%. Implied in our guidance is 2.2% to 2.4% non-GAAP operating margin range for modeling purposes. The guidance provided does exclude the impact of amortization of intangible assets and estimated restructuring and other costs. We expect to incur restructuring and other nonrecurring costs in Q1 of approximately $1 million to $2 million. Our non-GAAP diluted earnings per share is expected to be in the range of $0.18 to $0.22 or a midpoint of $0.20. We estimate that we will generate approximately $60 million to $80 million of cash flow from operations for fiscal year 2021 and CapEx for the year will be approximately $45 million to $50 million as we prioritize investments to support new customers and expand our production capacity through revenue growth. Other expenses, net, is expected to be $2.5 million, which is primarily interest expense related to our outstanding debt. We expect that for Q1, our non-GAAP effective tax rate will be between 19% and 21% because of the distribution of income around our global network. The expected weighted average shares for Q1 2021 are $36.3 million. This guidance takes into consideration all known constraints for the quarter and assumes no further significant interruptions to our supply base, operations or customers. Guidance also assumes no material changes to end market conditions due to COVID-19. And with that, back to you, Jeff.
Jeff Benck: Thanks, Roop for that update. Following Roop’s comments on our guidance for the first quarter, I wanted to provide some additional color on our view of demand by sector for 2021 on Slide 17. For the first quarter, we expect revenue to slightly decline sequentially from some seasonality and sector-specific dynamics. Strong demand for semi-cap and the new HPC program ramp in computing are offset by continued softness in some of our medical sector products, our industrial sector, oil and gas products and further weakness in our commercial aerospace business. From this Q1 base, we expect sequential revenue growth throughout the remainder of the year, supported primarily from new programs in industrials, medical and computing. In the medical sector, we are expecting revenue to remain relatively flat in the first half as demand started to slow for COVID-19-related therapy devices in 4Q, and elective surgery products have yet to recover. However, we are in flight on a large number of new program ramps for diagnostic and ultrasound products that will benefit second half revenues. With our deep expertise in design and manufacturing for complex medical products and our recent program wins, we have confidence that 2021 will be another growth year for the medical sector. In semi-cap, demand remains strong for semiconductor capital equipment in Q1, which we expect to continue throughout all of 2021, driven by the deployment of 5G and cloud computing demand created by work-from-home and school-from-home trends as well as growth in e-commerce. We remain well positioned in this sector with both our advanced precision machining and electronics manufacturing services and now expect revenues to grow greater than 10% over 2020 levels. Moving to the A&D sector outlook, we expect sector revenues to be flat to potentially down in 2021. Expected gains from new programs in our strong defense business are offset by further declines and persistent weakness with our commercial aerospace customers. Customers in commercial aerospace have not provided visibility into a time line for demand improvements. Conversely, we are seeing further improvements in military programs, supporting advanced communications, radar applications and ground-based systems. In industrials, we expect strong year-over-year growth from our new programs that will ramp in first – second half 2021. At present, we suspect that our oil and gas business will begin to recover starting in Asia in the back half of the year. Independent of this recovery, our new sector leader and business development teams have made significant strides in growing both existing and new accounts. In fact, the industrial sector had the highest value of bookings in 2020. These new programs support our confidence in full year growth, even against the softer near-term demand outlook. For the full year, we also expect growth in the traditional markets. In the telco market, where we remain highly selective in our engagements, we expect overall stable revenue underscored by demand strength in satellite and broadband communication programs. In computing, we expect strong revenue contribution from high-performance computing projects with expected ramps in late Q1 through midyear 2021. Let’s now turn to Slide 18, where I will share some broader perspectives on the new year. Now that we’re in 2021, we are becoming increasingly bullish on our ability to achieve mid-single-digit growth over 2020. We are expecting continued growth in the medical and semi-cap markets with incremental contributions from industrials and high-performance computing. Our higher-value markets are expected to grow for the full year. We expect the higher-value markets to again represent over 80% of our total annual revenue. We are targeting gross margins for the full year to be at least 9% as we offset headwinds from continued COVID costs and a number of new program ramps with benefits from our operational excellence programs. We are also targeting SG&A for the full year to be below 6% from effective expense management and continued progress with shared services consolidation. We remain committed to growing shareholder value and providing incremental returns to shareholders through quarterly dividends and with our share buyback program. If you will turn to Slides 19 and 20, I wanted to provide an update on our commitment to supporting ESG and sustainability, which is a strategic imperative for Benchmark. At present, the 5 tenets of our ESG strategy are environmental responsibility, our people, our community, governance, and the ongoing COVID-19 response. Under the oversight of the Board, our internal ESG council is comprised of an enterprise-wide, cross-functional team tasked with defining and implementing key projects and investments that will advance these priority initiatives. We have further supplemented this team by partnering with like-minded customers and by engaging with third-party consultants who have specific ESG experience to further accelerate our strategy. For your information, we have been monitoring and tracking energy reduction programs for almost 10 years in support of the environment. On the governance front, we have a diverse corporate Board with 22% of directors represented by women, but we can and will do more. We have plans in flight to expand racial diversity on our Board of Directors and overall plans in the company to strengthen our diversity and inclusion platform through strategy, training and a focused recruiting plan. We have conducted a peer analysis and are mapping current material ESG programs to SASB standards, which we will publish this quarter. We will also provide further updates in the ESG sections of our upcoming annual report and proxy in Q2. We expect to release a standalone sustainability report in 2022. Future reports from Benchmark will include both qualitative and quantitative measures reflecting updates and improvements as we advance our overall ESG strategy. I want to wrap up our call today with a summary of our three strategic initiatives for 2021 on Slide 21. Growing revenue is a top priority of Benchmark. As I referenced earlier, we have spent a considerable amount of time over the past couple of years, optimizing the customer experience through recurring feedback mechanisms and enhancing our strategic relationships. Our account management processes are improving, and we are focused on increasing the attach rate of design engagements to manufacturing wins through selling the full breadth of services and capabilities to our customers. Once we successfully win new programs, we are then laser-focused on supporting new program ramps which are forecasted to be at record levels in 2021. In order to achieve our financial targets, we must also invest in a sustainable infrastructure and talent needed to scale our business. As I discussed earlier, ESG sustainability initiatives and advancing diversity and inclusion underpin these foundational efforts. This also involves creating an efficient and scalable infrastructure to streamline the global delivery of our shared services. We have rationalized our investments in corporate infrastructure, including our HR, IT, finance and other shared services, and centralized these groups to achieve scale while concurrently managing SG&A expense in support of our midterm model which we introduced late last year. Ultimately, our model reflects that we expect to grow earnings faster than revenue. Revenue growth in our model enables higher utilization to better leverage our fixed costs, but not all revenue dollars are created equally. We are targeting a portfolio of customers, with the right sector mix that value our advanced technologies and leverages the breadth of our services. Through these targeted higher-margin customer engagements and ongoing operational excellence efforts, we will expand margins and ROIC through 2021 and into the coming years. I remain excited about our team’s ability to capitalize on the growth opportunities in our diverse end markets where our deal pipeline and win rate is increasing, and we remain focused on executing our ongoing initiatives to increase value for our customers, employees and shareholders. I look forward to 2021 with optimism, knowing that our strategic investments in the business to drive differentiated value and sustainability have solidified a path to achieve revenue, margin and earnings growth in 2021. And with that, I will turn the call over to the operator to conduct our Q&A.
Operator: [Operator Instructions] The first question comes from Jim Ricchiuti with Needham & Company. Please go ahead.
Jim Ricchiuti: Thank you. Good afternoon. Hello everyone. Jeff thanks for the color on how you are thinking about 2021.
Jeff Benck: Sure.
Jim Ricchiuti: That’s helpful. I wanted to go back to gross margins because I’m looking at the Q4 gross margins, looking at the revenue levels that you were at and being able to demonstrate those kind of gross margins. You highlighted mix, were there some other factors? And Roop, maybe if you could, I may have missed it, but did you break out the impact of COVID on gross margins in the quarter?
Roop Lakkaraju: So Jim, this is Roop. Appreciate the question. We didn’t break out the gross margin effect. But in effect, it’s about 30 basis points of COVID costs in that gross margin, roughly, although not all of that – I guess a little bit less that because there’s a little bit in SG&A as well. But to get to the heart of your question, part of this is taking out the onetime recoveries that we had in Q4, so 9.6% comes down to about 9.3%. But then you look at the revenue difference and most importantly, within that revenue difference, is the nature of the revenue, right? We got lower – higher value market revenue in Q1, and we’ve got increased traditional market revenue in Q1. And then the other part of that is – so from an absorption standpoint, that has an effect. The other part of that then is where the revenue is within our sites overall, where it also has some further absorption issues potentially or challenges, if you will. Then the final piece is, obviously there is some additional costs that you tend to have in Q1 from employee expenses, payroll taxes, these sort of things that are factored into that as well. The other piece I’ll remind you of, Jim, through our comments is we talk about having margins expand through the year. And at the end of the day, for ‘21, we think getting to a 9% gross margin for the full year or at least 9% is very reasonable and is what we expect.
Jim Ricchiuti: Okay. And it sounds like in a couple of instances, a couple of other verticals, you are anticipating a pretty healthy second half ramp and I think medical being one that you called out. Is – do you guys have a pretty good line of sight on some of these new programs in terms of – because there is always the risk that some of this can slide. And I’m just wondering how confident you are about that line of sight and that ramp?
Roop Lakkaraju: Yes. I probably have higher confidence than in the past a little bit because for some of these programs, we’re in the thick of it, right, and even saw some of those programs get qualified in fourth quarter. And so we’re off running on a number of new things. It does take time. It does take sometimes multiple quarters to really see it ramp up. But – where in the past, we might have said, okay, we’ve got to win and there’s still engineering to go on, and it’s going to take time. I think our line of sight, particularly in medical, is that there’s a number of things that we’re actually investing. It’s actually costing us a little bit on the cost side of things early on, but I would say we have pretty high confidence in both medical and industrial that – a lot of wins over the last 2 years, in fact increasing in 2020, which won’t all impact us in ‘21, but pretty bullish in those two segments in particular which you probably picked up.
Jim Ricchiuti: Got it. Okay, thanks very much.
Roop Lakkaraju: Sure. Thanks, Jim.
Operator: [Operator Instructions] The next question comes from Anja Soderstrom with Sidoti. Please go ahead.
Anja Soderstrom: Hi, thank you for taking my question and good evening. So I first want to ask about the industrial. You see some challenge in there in the infrastructure and transportation and oil and gas, can you just remind us how big the oil and gas is of the pie?
Jeff Benck: Yes, around 20% of that segment. Obviously, with some of the decline, it’s a smaller piece kind of going forward that we see there, but some of the strength, just to kind of pick up on where test and measurement still is a pretty big category for us and with some test and measurement in oil and gas. But beyond that, right, things like oscilloscope and things that are more broadly used are important element of that group and we have got some new wins there. Beyond that, we also have some LiDAR activity that is – we have been investing in for quite some time and see some of those programs come into production in the coming years. So those are a couple areas where we see strength in industrial and pretty excited about the potential there. Because I think if you remember, Anja, last year or about a year ago, we were – we felt like we were under participating there. We are doing better in factory automation and warehousing and some of those other segments as well, but those are a few touch points for ‘21.
Anja Soderstrom: Okay. Yes, my follow-up were for pockets of strength. So those pockets of strengths seems to be pretty good areas to be in, so oil and gas and the infrastructure and the transportation costs that would be pretty powerful then?
Roop Lakkaraju: So Anja, you broke up a little bit there, but obviously, with that strength and once oil and gas does recover, I think it’s an open question as to the timing of what that recovery looks like or how the vaccine rollout affects infrastructure projects and these sort of things. So yes, you are right there could be some further strength that we could see as we get to the latter part of ‘21 and hopefully into ‘22.
Anja Soderstrom: Okay, thank you. And then I think you participated in some testing in the UK, is that something you see any growth potential in as to maybe expand testing as it is to open up their economy significantly?
Jeff Benck: Yes. We have a customer in Europe that is building – we are building for them a rapid COVID test device, which pretty exciting technology. It’s really just amazing that you can get a result point of care in less than an hour. Basically, you swipe this and you’re able to quickly get a result. And there’s quite a bit of the UK government is leveraging that to deploy that around Europe. And then obviously, they have designs that go beyond that. So I won’t comment too much on the customer but pretty exciting about the technology, and we’re probably most excited because this does applications beyond just COVID. It’s not COVID specific in the sense that you think about other viruses or other things but also the DNA-level capability. So it’s pretty amazing where the technology can go. But we’ve been a phenomenal customer, great partner and work jointly together to ramp this and hope for it to contribute meaningfully in 2021 as we started producing volume in fourth quarter.
Anja Soderstrom: Okay. Thank you. That was all for me.
Jeff Benck: Thanks, Anja.
Operator: This concludes our Q&A session. I would like to turn the conference back over to Lisa Weeks for any closing remarks.
Lisa Weeks: Thank you again for joining our call today. If you have any follow-up questions regarding our earnings release, please don’t hesitate to reach out and I will be happy to follow up. Also wanted to put in a reminder that Benchmark will be supporting the Sidoti Spring Conference on March 26 and we look forward to engaging with you at this event. Please have a great afternoon, and we look forward to sharing our first quarter results with you on our April earnings call. Good afternoon. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.